Operator: Good day. And welcome to the Five9 Second Quarter 2018 Earnings Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Ms. Lisa Laukkanen. Please go ahead, Ma’am.
Lisa Laukkanen: Thank you, Operator, and good afternoon, everyone. And thank you for joining us on today’s conference call to discuss Five9’s second quarter 2018 results. Today’s call is being hosted by Rowan Trollope, CEO, Dan Burkland, President and Barry Zwarenstein, CFO. During the course of this conference call, Five9’s management team will be making projections and other forward-looking statements regarding the future financial performance of the company, industry trends, company initiatives and other future events. You are cautioned that such statements are simply predictions and should not be unduly relied upon by investors, and actual events or results may differ materially, and the company undertakes no obligation to update the information in such statements. These statements are subject to substantial risks and uncertainties that could adversely affect Five9’s future results and cause these forward-looking statements to be inaccurate. A more detailed discussion of certain of the risk factors that could cause these forward-looking statements to be inaccurate and that you should consider in evaluating Five9 and its prospects is included under the caption “Risk Factors” and elsewhere in Five9’s filings with the Securities and Exchange Commission. In addition, management will make reference to non-GAAP financial measures during this call. Management believes that this non-GAAP information is useful because it can enhance the understanding of the company’s ongoing performance and Five9 therefore uses non-GAAP financial information internally to evaluate and manage the company’s operations. This non-GAAP financial information should be considered along with and not as a replacement for financial information reported under GAAP and could be different than the non-GAAP financial information provided by other companies in our industry. The full reconciliation of the GAAP to non-GAAP financial data can be found in the company’s press release issued earlier this afternoon and it is also available on the Investor Relations section of Five9’s website. Now, I’d like to turn the call over to Five9’s CEO, Rowan Trollope.
Rowan Trollope: Thank you, Lisa, and thanks to all of you for joining us today. It’s been three months since I took the helm of Five9. During this time, I’ve been focused on learning the operational cadence of the business, engaging with employees, our customers and our partners and many of you, all which has been a very positive experience. Before joining, I was familiar with Five9 industry leading products and its track record of successful execution. As I’ve looked under the hood, my enthusiasm for the company has only grown. I’ll discuss my perspectives in a moment, but first, let me provide some highlights from the second quarter. I’m very pleased to report that our second quarter results significantly exceeded our expectations on both the top and bottom line. Revenue was a record $61.1 million and the year-over-year growth rate accelerated to 28%. Revenue growth continues to be driven by our enterprise business. Enterprise Subscription revenue, the fastest growing and most profitable part of our business continued its multi year pattern of growing in the 30s, posting growth of 37% on an LTM basis. Adjusted EBITDA was $9.7 million representing a record 15.8% margin, up 3.1 percentage point sequentially demonstrating the considerable leverage in our business model. Given the strong momentum in our business, we are raising 2018 guidance for both top and adjusted bottom line. And now my perspectives on the future of the contact center business in general and of Five9 in particular. Contact centers are undergoing a significant technology enabled transformation. Historically contact centers have been back office functions focused primarily on operational excellence and cost reduction. The modern contact center has a broader, more strategic role, namely to provide stellar customer experiences, driving up customer loyalty and increasing revenue. Now, two fundamental changes are helping drive this transformation. First, is the shift to the cloud. The disruption of the legacy contact center vendors is just beginning. The market for Five9 has been progressively opened up as we’ve proven our reliability, scalability and security. And keep in mind that this is not a land grab, but a steady replacement cycle lasting over a decade or more. In short, the market is coming towards us. The shift to the cloud is opening up the door to the next technology enabled transformation for the contact center, artificial intelligence. AI is transforming the technology landscape and the pre-requisite to AI is access to vast quantities of data. It turns out that the cloud contact center is a very rich space for AI and machine learning. From virtual agents augmenting live agents, to transforming unused voice recordings into valuable business insights to augmenting agents with AI powered guidance. AI will play a transformative role for many years to come. Our goal is to create the world’s best self learning, intelligent contact center, delivered through the cloud and powered by AI. One of my reasons for joining Five9 is that I felt we are better positioned than anyone else to achieve this. Each day, our born in the cloud platform with its proven reliability, scalability and security handles tens of millions of customer interactions, accumulating a treasure trove of voice recordings across many industries. So we have the data. We plan to leverage this data using our own technology as well as third party AI platforms from industry leaders such as Google, Salesforce Einstein and IBM Watson. Last week, we took an important step at the Google Next Conference where we announced our partnership with Google and their new cloud contact center AI platform. This sits perfectly into our recently announced AI led Five9 Genius. And we demonstrated a real example of Five9 Genius using Google AI to deliver a next generation virtual agent. In summary, the cloud is becoming mainstream and the rise of AI is just beginning. We believe it’s inevitable that these technologies will transform the contact center as we know it today. Neither trend is going to happen rapidly, but both position Five9 for a bright, long term future. Switching gears now to execution, while strategically we are extremely pleased to be a disruptor in a massive market, while not as in the near term as continued execution. This is what delivers results. In this regard, our approach to execution is consistent with the approach taken by my predecessor, Mike, namely first, attracting and retaining top tier talent throughout the entire organization. Next, delivering product excellence and innovation. Next, further expanding our ecosystem of partners and finally strengthening our customer first do whatever it takes culture. Let me focus briefly on one of these namely, customer relationships. We believe that we are the industry leader when it comes to customer satisfaction, and qualitatively this is supported by my firsthand interactions with our customers, and quantitatively by data, such as our LTM annual dollar based retention rate, which increased to 99% in the second quarter, and which resulted in our high unit economics. But what drives this high level of customer satisfaction. Well first, our platforms completeness, scalability, security, and importantly, its reliability. Over the last 12 months, we averaged 99.995% uptime. Next, our direct customer relationships. Even when partners are involved, we engage directly for sale, implementation and support with the end customers, with the aim to ensure the highest level of customer success. And finally, all of our enterprise customers get a high touch on site implementation performed by our professional services team, and many of those customers opt for our personalized premium support service provided by our technical account management team. In summary, I'm extremely excited to be leading Five9 as it continues to disrupt the contact center industry. I've been amazed by the talent and drive of the entire Five9 team and I am confident of a bright future. I’ll now turn the call over to our President, Dan Burkland to highlight some of our recent enterprise wins and expansion. Dan?
Dan Burkland: Thank you, Rowan. I'm pleased to report another second quarter record for enterprise bookings, in addition to our pipeline reaching another all-time high. Now I’d like to share some key enterprise wins we had in the quarter. The first example, I’d like to share is a healthcare company focused on early detection and prevention of certain cancers. They use their contact center to interact with patients and instruct them on at-home cancer screening test kit procedures, as well as with physicians to review test results. They had been using a premises-based solution which lacked the flexibility, analytics, remote agent support and management dashboards they needed to run their business more effectively. They recognize the importance of having a deep integration to their Microsoft dynamics CRM as well as maintaining HIPAA compliance. They are implementing a complete end-to-end solution from Five9, including IVR, ACD, Secure Pay for PCI and Advanced Encryption for HIPAA compliance. We anticipate this initial order will generate approximately 1.2 million in annual recurring revenue to Five9. The next example is a global university with multiple campuses and online academic programs. They have been using several premise-based systems throughout the locations, creating silos for distribution interactions, reporting and were constrained by the limited connectivity creating inefficiency across their multiple locations. One reason they chose Five9 was our global voice services, which is designed to allow optimal distribution of calls throughout the world. The customer is also upgrading to a complete omni-channel solution with Five9, so that they can offer voice, chat, email and social interactions to their students and customers. The deep integration between Five9 and Microsoft dynamics CRM allows the customer journey to have these interactions as well as recordings of all previous interactions to be written into and made accessible through their CRM interface. We anticipate this initial order will result in over 1.1 million in annual recurring revenue to Five9. My final example as one of the world's largest and most diverse hotel companies. As the company has acquired many brands and properties, they accumulated a variety of different premises-based systems, which could scale, integrate or consolidate to operate as the desired efficiencies of one single company. It was clear that the company needed to consolidate to a single global solution. They evaluated several cloud competitors as well as their main premise-based provider and found that none were able to provide the single global solution with deep salesforce CRM integration and enhanced mobility through visual IVR, while also allowing them to upgrade their existing WFO, by moving into the cloud with Five9. Ultimately it came down to trust and confidence in Five9 to deliver their global needs of today as well as the direction that they see Five9 headed in the future. We anticipate this initial order will result in approximately $700,000 in annual recurring revenue to Five9 with greater expansion very likely in the coming years. Now, I'd like to share an example of our existing customers who have continued to expand their use of Five9. This online recruiter went live with Five9 in early 2016 with 160 concurrent seats, over the next two years, they had nearly tripled their seat count with us, and most recently added over 485 seats. Along the way, this customer standardized on salesforce CRM, implemented our industry leading salesforce integration adapter and continued to leverage our robust manual Touch Mode solution for TCPA compliance. With this add-on order, we anticipate this customer will increase their annual recurring revenue to Five9 in the order of $2.2 million. As you can see, we continue to provide our industry leading solutions to help large enterprises achieve their digital transformation objectives. I'm very pleased with our momentum in the enterprise market, and as well and highlighted earlier customer experiences become more strategic to enterprises and doing so and the cloud is now mainstream. With our expanding go-to-market team, and ecosystem of partners, which again influenced over 55% of our enterprise deal flow for the second quarter. We believe, we are extremely well-positioned in this growing large market. I will now turn the call over to Barry to provide more color on the second quarter financials.
Barry Zwarenstein: Thank you, Dan. This was another excellent quarter, with revenue growing 28% and adjusted EBITDA margin increasing year-over-year for the 19th consecutive quarter. Before going into specifics, some reminders, and as otherwise indicated, all financial figures are non-GAAP and under ASC-606. Additionally, all growth rates are compared to the prior year period unless stated otherwise. Finally, note that the reconciliations from GAAP to non-GAAP results and from 606 to 605 are included in the appendix of our investor presentation available currently on our website at investors.five9.com. We delivered another strong quarter, which exceeded our expectations. Revenue was a record $61.1 million, up 28% year-over-year. Revenue was up 4% sequentially which is unusually strong given that the second quarter has been seasonally our toughest quarter. The strong year-over-year and sequential revenue growth was again driven by the continued strong growth in enterprise business, which now make up 76% of LTM revenue. Additionally, our commercial business, which represents the other 24% of LTM revenue contributed stronger growth in and around 10%. While we continue to concentrate on investments in a higher ROI enterprise business, we renewed our focus on the commercial business and improved execution. Recurring revenue accounted for 93% of our revenue in the second quarter. The average 7% of our revenue in the second quarter was comprised of professional services fees generated from assisting clients in implementing and optimizing the Five9 solution. Second quarter adjusted gross margins were 63.8%, an increase of 150 basis point year-over-year. Year-over-year adjusted gross margins have now increased each quarter for the last 22 quarters. Turning now to expenses, second quarter non-GAAP sales and marketing, R&D and G&A expenses were respectively 26.7%, 11.6% and 9.8% of revenue. These were 6.2% points lower year-over-year for sales and marketing of which 2.9 percentage points were due to the 605 and 606 transition, 0.6 percentage points lower for R&D and 1.3 percentage points lower for G&A. Second quarter adjusted EBITDA was $9.7 million, representing a record 15.8% margin. This was an increase of 9.6 percentage points year-over-year, of which three percentage points was due to the 605, 606 transition and as Rowan mentioned earlier, was an increase of 3.1 percentage points sequentially. The adjusted EBITDA improvement continually driven by the strong growth in our enterprise business, which enjoyed excellent unit economics and has consistently increased as a proportion of total revenue, and by the operating leverage we have consistently achieved. Looking forward, we expect to continue to drive solid revenue growth and progress towards our second half 2019 and long term adjusted EBITDA margin model of 22% plus and 27% plus respectively. Our confidence in meeting these targets is based upon the persistence of the factors which are driven year-upon-year improvements thus far. Second quarter GAAP net loss was $2 million while non-GAAP net income was $6.9 million. Finally, before turning to guidance, some balance sheet and cash flow highlights. We ended the second quarter with $274.3 million in cash and marketable investments. This includes proceeds of $186.8 million on the convertible note financing that we closed in May, net of paying over our revolver debt, transaction costs and fees to purchase a capital which increased the conversion price to $62.80 per share. We expect cash, net interest savings resulting from the use of our convertible proceeds to be approximately $2.5 million in 2018, of which 350,000 was realized in the second quarter and a further $1 million is expected in the third quarter, and $1.1 million is expected in the fourth quarter. DSO for the second quarter was 26 days. As I've remarked before, the DSO performance is an indication, not just the payment terms and the mission criticality of our solution, but also of the level of customer satisfaction that Rowan talked about earlier. Looking ahead, we expect DSOs to increase gradually as a makeshift to enterprise from commercial continues. Our LTM operating cash flow as of June 30, 2018 was $24.6 million, a year-over-year improvement of $19.7 million. We are optimistic about our potential for long term cash generation, given our adjusted EBITDA models, our substantial NOLs [ph] which we believe means we’ll not be paying taxes for the foreseeable future, and our lower DSOs. Capital spending in the second quarter was $3.5 million, of which $2.4 million was financed by our capital leases and the remaining $1.1 million was paid in cash. Moving forward, we expect to generally pay cash for new capital expenditures. I'd like to finish today’s prepared remarks with a brief discussion of our expectations for the third quarter and for the full year 2018. Note, that our guidance reflects no material difference in revenue between ASC 606 and ASC 605, and that the bottom-line benefit from capitalizing and amortizing a significant portion of commissions will be in the range of $5 million to $7 million for the year. For the third quarter of 2018, we expect revenue to be in the range of $61 million to $62 million. GAAP net loss is expected to be in the range of $8.1 million to $7.1 million, or $0.14 to $0.12 per basic share. Non-GAAP net income is expected to be in the range of $5.1 million to $6.1 million, or $0.08 to $0.10 per diluted share. The guidance for the current quarter includes the following items; first, GAAP net loss includes $3 million in amortization of convertible debt discount and issuance costs, second, higher expenses anticipated in R&D, third, $1 million in net interest savings from the use of our convertible proceeds and fourth $1.5 million improvement due to lower commission expenses under ASC 606, which is the midpoint of the $1 million to $2 million range for the current quarter we are expecting due to this accounting change. For 2018, we expect revenue to be in the range of $244.5 million to $246.5 million. GAAP net loss is expected to be in the range of $14 million to $12 million or $0.24 to $0.20 per diluted share. Non-GAAP net income is expected to be in the range of $24 million to $26 million, or $0.39 to $0.42 per diluted share. The guidance for 2018 includes the following items; first, GAAP net loss includes $7.9 million in amortization of convertible debt discount and issuance cost, second, higher expenses anticipated in R&D, third, $2.5 million in net interest savings from the use of our convertible proceeds, and fourth, $6 million improvement due to the lower commission expenses on ASC 606 which is the midpoint of the $5 million to $7 million range for 2018 we are expecting for this accounting change. For modeling purposes, we’d like to provide the following additional information. For calculating EPS, we expect our diluted shares to be 62.5 million and basis shares to be 59 million for the third quarter of 2018 and 62 million and 58.5 million respectively for the full year 2018. We expect our taxes, which relate mainly to foreign subsidiaries to be approximately $60,000 for the third quarter of 2018, and $230,000 for the full year 2018. Our capital expenditures for the third quarter of 2018 are expected to total approximately $4.5 million to $5.5 million. For the full year 2018, we expect capital expenditures to be between $15 million and $16 million. In summary, we are very pleased with our second quarter results, which demonstrate our consistent execution. Going forward, we will continue to strive for solid revenue growth, while progressing towards our second half 2019 and long term financial targets. And now, we’d like over the call for questions. Operator, please go ahead.
Operator: Thank you [Operator Instructions] We’ll go first to David Hynes with Canaccord.
David Hynes: Hey thanks a lot guys, great set of numbers. Rowan, maybe we can start with you on the AI strategy. I’m curious as you implement that. I mean, is that – will Five9 be adding SKUs, is it about embedding AI into your core products, is it a means to drive price higher, just how does your AI strategy materialize in the numbers and the products for you guys?
Rowan Trollope: Well, I think it’s early days, first of all thank you for the comment and the question. It’s early days on that front. We did mention the intent to spend more money. We are pushing the accelerator on R&D. The primary focus of that is going to be on continuing our integrations with the -- our ecosystem partners like salesforce and deepening our partnership there, ServiceNow, Oracle and so on. Second is on our public cloud transformation. So we are leveraging public cloud services more and more, and then third is on AI. And as we look towards AI, I’d say, it’s soon to tell with regards to your specific question about SKUs and so on, but of course we do, we have been publishing blog posts and other material about how we see AI affecting the contact center and I’d say if I had to sum it up, I would say it’s going to ultimately impact every part of the contact center and – but too soon to tell exactly how and really this is the beginning of our I would say a very long shift as AI starts to impact every part of the call center from the ACD to the IVR, to you know voice of customer, analytics, and so on. So early days, but more to come in, and again we’ll take more on the blogs, we’ll be sharing more on the blogs about that.
David Hynes: Sure. Yes, we’ll stay tuned. And then maybe one for Dan, just in terms of kind of what you’re seeing in the field, so I think that the deal flow from partners number has remained kind of in the ballpark – you know more than 55%. Does it feel like that starts to plateau at some point, does partner contribution continue to increase, I mean how do you see the mix of kind of partner versus direct playing out here over the next I don’t know two or three years?
Dan Burkland: Yes, thanks DJ. That’s you hit it, which is we continue to see leverage from our vast ecosystem across the board. And remember, that includes all of our partners. So whether they be CRM integrated partners, ISV partners in addition to resellers and master agents and referral partners. So it's across the board to 55% and we continue to see additional leverage, part of that is gained by our increasing brand and increasing confidence and trust that the end users have in Five9, so it’s bringing around new partners of all of those types at a continued rate. And that rate continues to grow in proportion to the business growth figure seen from us.
David Hynes: Got it. Okay, thanks for the color, I’ll pass it on.
Operator: And we’ll go next to Sterling Auty with JPMorgan.
Rowan Trollope: Hi, Sterling.
Operator: Sterling, go ahead, your line is open. Please check your mute function.
Sterling Auty: Hey guys, sorry about that. So I wanted to also follow up on the AI line of questioning. So how should we think about specifically, Google, AWS, Microsoft and some other AI endeavors as partners versus, they – they eye this market as something that they want to take a bigger piece of, and ultimately could end up being some your biggest competition moving forward, and how do you navigate those waters?
Rowan Trollope: Yes, I don't think so. If you look at what Google announced two weeks ago, so we just to refresh everyone on the call. We announced a partnership with Google at their Google Next event. Google launched a Google cloud contact center AI platform and that's really providing underlying -- the underpinnings of AI sort of enablement is the way you should think about it. So automated -- so automatic speech recognition, text-to-speech, natural language processing. So what Google said at their event is their intent is to bring their very substantial investments in artificial intelligence to the contact center and other industries. Contact center was first, the first one they announced and they also were explicit that their intent is not to become a contact center app provider and that certainly would be is not surprising given that Google sort of recognizes that they are not an app, enterprise app company per se. And so, the way that I see it is, is at least in the in the case of Google, they are using their substantial AI technologies to draw more customers onto their Google cloud platform. I think the same could be said of Microsoft; very similar technologies by the way are available from Microsoft on Azure, and the same thing from Amazon. So I think they all have a desire to take AI technologies and build them into that platform to allow for a -- to allow for developers to get more and more capability on their cloud platform. So in one way it’s a race to the cloud, and a way to differentiate for these guys. And then in another way, for us it's a leverage point for us, because we don't have to go in and do that heavy lifting, and this is technology that they have developed over many years, really on the backs of their consumer businesses where they were able to get the data. What has been a struggle I think for all of these cloud vendors is to get the enterprise data. And that’s something that the app vendors have. So what do we have uniquely in this case, is we have the data. Five9 as a cloud contact center, we've got, over 15 million voice recordings per day on our platform, in the enterprise context and that is not something that I think any of these, well certainly not Google doesn't have access to, and so we -- bet they also were very clear by the way, and that announcement that Google have access to that they will not be accessing that data that they will allow us to train their models, but we will retain the data on behalf of our customers, and that's certainly a big concern of customers, they don’t want that data getting out, and being used for advertising or other things. And then the second point is, in the case of the contact center what we really have is domain specific data. So while just to give you an example, what I mean by domain specific. A healthcare claims call in the lingo that you use on that call is very very different than a roadside assistance call, for example. And the machine learning models have to be trained uniquely for those individual domains. And that's an area of expertise that we have because we sit right with these customers implementing these contact centers. So to sum it all up, I think it’s a very positive development for the contact center industry and more specifically for cloud, pure born in the cloud contact centers that are truly multitenant.
Sterling Auty: Perfect. And one follow-up just you guys have been so consist on the enterprise business, the one thing that is different is the improvement in the commercial business. Can you be a little bit more specific in terms of the changes that you made? Was it just putting more dollar resources to work? Or what other things help that business this quarter and is it sustainable?
Rowan Trollope: I'll let Dan to comment on that.
Dan Burkland: Yes. So, if you look at that side of our business as we've talked about before it had been in and around 10% from a growth perspective, fell into the single digits and it has returned just around 10% and it's too early to tell if that's a trend yet, but we did have a strong quarter of execution with our commercial business and strong retention rates and it just made for an improvement there. But stay tuned, we anticipate that with our strong investments in enterprise and our increasing brand and trust that the market has in us it’s going to drag along and pull commercial business with it. And we certainly will take that business all day long.
Sterling Auty: Got it. Thank you.
Operator: We'll go next to Meta Marshall with Morgan Stanley.
Meta Marshall: Great. Thanks for taking my question. In a kind of diligent, one of the questions that's kind of come up is the value of the data libraries itself and the difficulty of translating that into AI whether it would be because people kind of mention the wrong words or say canceled on the call where they may not have meant cancel and that being a significant hurdle. So if you could just talk about, would you just plan on monetizing the data through eventual AI subscriptions? Or would it be through potentially even monetizing the data sets themselves? That's kind of the first question. If you could answer that first, that would be great? Thanks.
Rowan Trollope: Sure. Thanks Meta. I'll take that one. This is Rowan. So I mentioned more than 14 million, 15 million voice recordings per day. And those really haven't been that interesting until recently. Before the latest developments in AI is very expensive to take these sort of giant wave files of customers talking and accurately transcribe those into text, and that is what have changed really dramatically in the last year and specifically from Google and others. And so, that's one big hurdle. And furthermore, it was – you could do it before but it was much more expensive. Google is the rack rate for translating speech to text is now $0.05 a minute and that only going to go down. And that's Google's rate. There's others who are cheaper. So that's a big shift. The other big shift is that this text speech, recorded speech is -- we're being able to do the transcription of that in real time at human level accuracy and that introduces other opportunities. So I think to answer you question both ways are possible. We have been publishing -- I published two blogs in the last couple of weeks or three weeks maybe on how exactly we see this affecting the contact center and its both through new capabilities that we can sell, as well as providing things like business insight. So given all of those voice recordings and given all the text and email traffic that is flowing through our pipes and recorded in our backend, we can apply things like natural language processing on top to sort of give you real-time insight into what your customers are saying. So this shifted the contact center from being a back-office cost center to a sort of revenue generating highly business relevant function is going to be bolstered by AI in a whole variety of ways really.
Meta Marshall: Okay. Got it. Thank you. That's helpful. And then maybe the second question. You guys have tended to be a little bit more conservative about forward guidance. And so just – its a pretty meaningful ways and just breaking down is that deals are taking a shorter time to close. They are larger when they're coming in. You're seeing more add-on to existing customers just kind of what is giving you confidence on the guidance range?
Barry Zwarenstein: Yes. Overall, what giving us – what giving us confidence Meta in the guidance is simply the predictability and visibility that we have into the business. We're not embarking upon voyages of discovery here. We know the market pretty well. We've got -- you have to have a very adequate product otherwise you're not going to switch from the premise to the cloud. We've got all the scalability and reliability and the market is so huge we just know that that the biggest single thing, the booking and then the eventual translation is there. So it's a combination of all those things that you see. We're going now to the stronger part of the year, seasonally stronger second half and we don't know exactly how stronger it will be. So we've taken a prudent stance at this stage. And if things turn out to be better then we'll raise it even more.
Rowan Trollope: And just one thing to add. Thank you, Barry. Just one thing to add. We haven't and we are not changing with, but this being my first earnings call. We're not changing our approach to guidance, the way that we've done that prior before that we're doing at the same ways. So of there isn't shift here, this is just a reflection of the business performance.
Barry Zwarenstein: And if you look at our guidance and you go and compared with the past you'll see that its very consistent with the pattern that we've done in the past.
Meta Marshall: Great. Thanks guys.
Barry Zwarenstein: Thanks Meta.
Operator: We'll go next to Scott Berg with Needham and Company.
Scott Berg: Hi, gentlemen. Congrats on the great quarter and thanks to taking my questions. I guess so many questions, so little time. But let's start off with the strong second quarter performance. You guys called up the commercial side, obviously the enterprise LTM growth rate remain really strong as well. The beak was certainly larger than we've seen recently and the 28% growth rate, its great. But how much that – it was due to the commercial business versus the enterprise business or anything one time in nature in the quarter? That'll be great.
Barry Zwarenstein: So, hi, Scott. Nothing one-time at all. The commercial business did contribute. I'm not going to say exactly how much, whether its one, two, three or whatever percent, but it did – it made what was a good quarter and excellent quarter.
Scott Berg: Great. That's helpful. And then, I guess, Rowan, another follow-up on the AI, and specifically the Google partnership. I know, you now have some discussions right on this, but how much of this is going to be pushed the customer pull versus customer push. And you mentioned it's going to be kind of a long tail. Its going to take some time to evolve, but how long do you think it will take, I'm not expecting specific timeframe, maybe couple of three, four years before customers embrace this. And then does this actually accelerate how enterprise customers use these technologies going forward? Thanks.
Rowan Trollope: Sure. Thanks Scott. Like I said we're at the beginning of I think a steady shift of the technologies within the contact center. And by the way the contact center is no different than any other industry in this way that AI is transforming every segment. I think we've been pretty explicit about the five pillars of this transformation that we see happening. Over time, I am not smart enough to be able to predict how quickly that's going to happen. We're in the early stages of developing this. We with the lunch at Five9 genius that we had earlier this year which is our platform for AI, we've seen strong interest from our customers. And if you look at the activity happening at salesforce with Einstein certainly the Google platform that they launched and others I think at one of the Google conference breakouts just as anecdotal piece of evidence. There was 1000 people in attendance for their contact center AI platform thousand people, and the room was overflowing and people couldn't get in. And people ask me, why I came to Five9. So, Scott, even I've talked about that. So, I don't want to make any prediction about how quickly or how slowly. I think generally speaking things are slower than you want and then there faster than anyone expected. And I when exactly that happened? Like, I don't know yet but were actively engaged in it.
Scott Berg: Very helpful. Thanks for taking my questions.
Rowan Trollope: Thank you.
Operator: We'll go next to Raimo Lenschow with Barclays.
Mohit Gogia: Thanks guys. This Mohit Gogia on Raimo. Thanks for taking my questions. The first question I guess, Rowan. So you guys have discussed the integrations in terms of AI, in terms of CRM. But I also – I was also wondering if you can discuss your recent partnership with – I guess expanded partnership with Fuze on the UC side. I'm just wondering if you can discuss the strategy there, because we've also seen in our communications that the UC and contact center market are sort of like converging somewhat. So I'm wondering how do you think about that convergence and what is the strategy with that partnership going forward? And I have another question.
Rowan Trollope: Thanks, Raimo. I'll mentioned – Mohit, thanks, Mohit. I'll mention the convergence and then I'll talk about convergence and turn it over to Dan for what we're seeing with Fuze. What's not happening is convergence, but what is happening is a recognition by the UC vendors particularly the cloud UC vendors that in certain segments of the market there is a go-to-market synergy that is really terrific. And that is traditionally the contact center -- PBX essentially came bundled with a contact center or attached to a contact – contact center can attach to the PBX and so there was a legacy reason for that. And as a result many customers have a economic buying center that bought the infrastructure and that included the contact center. That's less true as you move up market. And certainly our customer and our buyer is generally outside of IT and so we don't see that as much. We don't encounter. When we sell contact center we don't drag along UC, but the inverse is not true. The UC vendors do see a need to. If you can replace your legacy you see infrastructure and as a contact center hanging of it, you kind of need to have an answer. So there's a nice synergy in go-to-market and that led to our Fuze partnership and that's what I think is reflected what the other cloud, UC vendors have been doing. The second point is where cloud UC is largely a new commodity and a lower price point, lower ASP. Cloud contact center has a very high ASP, its very sticky is very high margin and is very high margin. And so it’s a nice business for them to be able to get into and so all of that led Fuze to partner with Five9. And Dan, want to comment on that.
Dan Burkland: Sure. So Rowan said it perfectly and that is if you just -- there's definitely an interest on the UC side at those players for as Rowan mentioned. When they're going to replace a legacy PBX, it oftentimes has bundled in contact center. So they have to have a solution for that if they're going to make that replacement on a legacy platform, but we don't necessarily need it because we can coexist and interoperate with any UC solution. So while we're thrilled about the partnership with Fuze and we're thrilled that they're bringing us into their deals where that occurs. Where they need to provide a contact center solution along with their cloud UC. We're not down by that same restriction, because we can put ours on top of any UC platform if the customer want to go ahead and retain their legacy UC platform. If they want to make a change there, then it’s a great opportunity for us to bring in one of our partner like Fuze.
Rowan Trollope: And bigger than UC is that one final though is CRM. CRM is really the biggest driver of the cloud contact center transformation. And what you'll see is as their salesforce continues to your drive trends the transition of that market to the cloud you know that drive customers to ask, I got this experience center, my engagement technology whether the legacy on premises, contact center. I need to upgrade that and let's go look at cloud options that integrate really well with the salesforce and so on. So it's moving and becoming more of a CRM oriented technologies then an infrastructure technology with the move to the cloud.
Mohit Gogia: Thanks. That's very helpful color. And if I ask a quick question to Barry as well. So, Barry you mentioned at the conference on the intermediate EBITDA target o 22% plus. I'm just curious as to they were commentary around sort of like increased R&D expense. So just in that context, does that shift the goalpost on R&D sort of like targets you have led out second half 2019, obviously EBITDA target sort of like still [Indiscernible] reaching those but is it goalpost moved on R&D targets at all or is that not the case?
Dan Burkland: Mohit, the goalpost have not moved. 22% plus in the second half of next year, yes, we are certainly going to tap the accelerator on R&D. Its provided for in our guidance and in our longer term modeling.
Mohit Gogia: Okay. So the R&D target of 9% to 11% is still sort of consistent with what you're thinking right now?
Barry Zwarenstein: Right now the fraction of the 11% at 11.6%, now I'm not going to lose a lot of sleep as it turns out still to be 0.5 percentage points over, but those are the types of things we're talking about.
Mohit Gogia: Understood. Thanks guys for taking my questions.
Barry Zwarenstein: Thanks, Mohit.
Operator: We'll go next to Richard Baldry with ROTH Capital.
Richard Baldry: Thanks. Maybe from a very high level, now that your market cap stepped up pretty meaningfully and you just tap capital markets also pretty meaningfully. Talking about any changes to your M&A strategy or plans where it can be added capital and access to capital? Thanks.
Barry Zwarenstein: Yes. Thanks, Rich. No change there. We didn't do the convert with the intent to go make acquisitions. We did the convert to take advantage of the unprecedented low rates of in capital and especially in a rising rate environment that seem important to us. We also never did a follow-on raise as a public company, so it was a sensible thing to do as well as you can see the effects in our numbers as we've retired our revolver and are beginning to switch from capital leasing to a purchasing that the equipment. So there's real benefits to doing that convert. And no changes, that was by the way started before I began as CEO and so there's no change to our acquisition strategy this time.
Richard Baldry: Last quarter I think in the discussion there was focus on the 53% of revenues coming in the second half over the past three years, given the upside in the second quarter do you think that seasonality's changed? What would be a changed the drivers to that? Do you think that's a long-term change in the seasonality of the business? Thanks.
Barry Zwarenstein: Yes. So currently if you look at our guidance, its 49 first quarter, 51% second -- first half – second half. And as you said in your question of the last three years its being 47, 53. So we just being prudent at this stage, we don't see any major change in seasonality between the first half and the second half.
Richard Baldry: Thanks.
Operator: We'll go next to Terry Tillman with SunTrust.
Unidentified Analyst: Hi, guys. This is actually [Indiscernible] on for Terry. Thanks for taking our questions. Our first question is on sale capacity and early planning for 2019. Now that we've passed the midpoint of this year, how you're feeling about sales capacity going into next year?
Dan Burkland: Yes. As always and thank you, Courtney, appreciate that. As we stated in the past we continue to grow our sales teams in proportion to the growth of the business and so continue to add to our enterprise team and our channels team as we grow the business and as we expand internationally.
Unidentified Analyst: That's helpful. Thank you. Our second question I want to ask about Enterprise subscription growth this quarter was really again I think at 37%. Could you talk about the sustainability of that mid 30s growth and Enterprise going forward, maybe just your comfort level with the ability to continue growing at that level?
Barry Zwarenstein: Yes. Courtney, so, I'm going to build on what Dan has said, its really commensurate with our growth in direct sales force and channels and so on, international being an additional opportunity, and we as I also responded in one of my very first question. We do have a huge market ahead of us, 6.4 million agents in North America, barely the most 15% penetrated. We've got the right product, right team, the right source levels and so on. And so, this is in our judgment a very extended decade or more type opportunity that we can avail ourselves of and continue doing what we been doing now for years.
Unidentified Analyst: Got it. Thank you, guys.
Operator: We'll go next to Jeff Van Rhee with Craig-Hallum.
Jeff Van Rhee: Great. Thanks very much. Several from me guys. First, I guess, Rowan, just with respect to the public cloud, you mentioned the transformation. Could you just expand on that, give a little bit of sense of kind of timelining goals, level of aggression, what you're hoping to accomplish by when? And just a few more benchmarks in terms of how we should think about that?
Rowan Trollope: Yes. Yes, absolutely. Thanks Jeff. So there is – what I mentioned earlier is our biggest priority right now is integration with CRM vendors and moving to the public cloud certainly is not that. We are already in the public cloud in some ways, so the second priority for us, the first is integration, second is public cloud. We are already in the public cloud for our Five9 Global voice as we been selling more and more multinationals and also selling more internationally. We needed to have a presence globally and Five9 Global voice gave us that by deploying our voice pops into the public cloud. And you're going to see us continue to leverage the public cloud as we expand and its about expanding there. The primary drivers I think first and foremost is access to technology that's only available in the public cloud. So there are – if you look at the innovation coming out of whether its Amazon or DCP or Azue even, there's a tremendous amount of innovation and cost effectiveness that can be achieved by jumping onto those platforms using their managed services, using their technologies just to boost and accelerate your business. And so that's a big one is getting access to that. The second driver is agility. We want to be able to expand not only globally but just expand in to new availability zones and take advantage of things. And we think that as we expand our product of our cloud we're going to get more and more agility. So those are the drivers. I would say cost savings is not the primary driver. It's really too soon to tell if we would see cost savings, because we already run very efficient operations and you can look at our gross margins to see that that's the case. We've got very consistent and improving leverage on our infrastructure. So we are running very efficient operations and we're running very reliable operations. So the shift to the public cloud is more about agility and access to technology.
Jeff Van Rhee: Okay, great. Got it. And just one more from me. Back to commercial just to be clear. Was there change in resource allocation that drove the revenue upside? Or was the revenue upside change in customer behavior kind of trying to figure out which of those two is the emphasis?
Dan Burkland: Yes. Not the first. We are – our commercial team stayed right where it was. Steady -- moving along a steady course as they always have been. So again, we don't want to look at one quarter and have it trended that way. We're hopeful that will continue. But again it's a matter of our brand and our presence and the trust factor we have just pulling through businesses of all sizes moving to Five9 and that just I think more of a macro effect if you look at the marketplace and we look at that and we talk about the 15% penetration of companies that have moved from legacy premises systems into the cloud. That applies and we're probably at a point further down the path where commercial sized businesses have moved more rapidly over the years, and so we're at further stage than the 15%. And so we want to make sure that we don't ignore that business or turn away from it, while we also want to make sure we invest the higher unit economics and certainly more profitable enterprise business. But like I said before in the opening statements we'll take that business all day long and it continues to be a good contributor.
Jeff Van Rhee: Got it. Great. Thanks so much guys.
Dan Burkland: Thanks.
Operator: We'll go next to Matt Van Vliet with Stifel.
Matt Van Vliet: Yes. Hi. Thanks for taking my questions. I guess first half looking more broadly at the overall competitive landscape with some of the offerings like DAI enablement from Google. How are you approaching this to you know maybe this slow down or does it actually accelerate migration from legacy systems with some of the enablement? And does it help close the gap from a functionality standpoint of some of the on-prem competition to some of the advanced features that you can already offer with the cloud architecture?
Rowan Trollope: Hey, Matt. This is Rowan. I'll jump in on that one, maybe Dan can give us a view from what he sees and feel. There's a continuing closing of that functionality gap that had been driven for years in the cloud contact center space, which I say we're done with. So there is no gap of functionality between premises and cloud this point. Any large customer can shift on to our cloud platform. They do that consistently and repeatedly. Now the shift that's happening over time is largely probably driven that this is a steady shift is largely probably driven by the long life cycles of existing equipment and infrastructure. These contact centers are conservative in general and tend to and the average life of these systems is 7 to 10 years. And so that's why we talk about the steady shift towards the cloud. Its less about functionality and more about -- now that we've crossed, now that the technologies in general have crossed and that point at which we have enough capability and scale and ability to trust all those customers who driving up to our platform. The second part of your question was around AI and you mentioned Google and others. Look, I think that those are things that you can only do in the public – with the public cloud solution like ours. As you look in to a legacy premises vendor what they have had is a story of we will host your contact center in our cloud which really doesn't work because when you from an AI perspective when you think about what's necessary for AI it's really the prerequisite is vast amounts of data. And so when you think about a multitenant cloud solution is what's needed to take best advantage of AI, because you have more data. So the more data you have the better you become. And if each company can only rely on their data to train AI that just not going to work as effectively if at all. And so, I do think that as these technologies come online it will be more and more of an tracker to move to public cloud contact centers. With regards to what we're seeing in the market with their customers, Dan, you want to add any comments there.
Dan Burkland: Yes. And I think Rowan mentioned a roadmap which is and I think the gap you are referring to does it allow the premises guys perhaps to the partner and leverage some of those AI technologies to bring that gap closer and allow them to catch up functionality wise, and I think just the opposite is Rowan mentioned, it furthers the gap because really getting to the cloud in a multitenant solution is a prerequisite to be able to really allow AI to be effective, because you've got to take those millions of recordings and millions of trials to teach the system, the machine learning like the example Rowan mentioned earlier about roadside assistance versus healthcare, just like we teach an agent to be an expert in one of those areas, we have to teach the system to be an expert in a specific area. And if you come in on the premises solution you have no history and no data to be able to teach the system and if you're processing a few thousand calls a day it will take months and months and maybe years to teach the system like you would an agent. Whereas if we have millions of recordings in one specific industry we can teach that system very quickly how to handle certain requests and learn the lingo and learn the languages and learned even the slang that is used by a caller to ask questions or to request things that you can get from having just a few trials if you will.
Operator: We'll go next to Mike Latimore with Northland Capital Markets.
Unidentified Analyst: Hi. This is Rishi for Mike Latimore. Thanks for taking my call. Due you thing Five9's platform is a well suited to handle the increasing text messaging and chat volumes? Or are there any investments you're considering on that front?
Dan Burkland: This is Dan. we're handling it just fine. We have the chat solution that we had for several years and it seems to be doing very very well. On the SMS side we integrate partner with a variety of companies that provide us those solutions as well. So the platform certainly not any issue to been able to take on that additional business.
Unidentified Analyst: Okay. Just one more question. So what percentage of bookings came from our current customers in the quarter?
Dan Burkland: We don't disclose the percentage that comes from existing other than our dollar-based retention rates, which increased overall across both segments of our business to 99%, up from 98% last quarter and that's on an LTM basis. And keep in mind that in the enterprise business much stickier and much no longer lifetimes with our customers. And so that rate is well north of 100 on the enterprise side and south of 100 on the commercial side.
Operator: We'll go next to Brent Bracelin with KeyBanc.
Brent Bracelin: Thank you, Barry or Dan here. I want to go back to the growth rate, I mean obviously highest year of your growth rate in two years. That was a highest sequential growth rate in five years going back. And so I know the LTM stat give SKU one quarter trend, but as we think about just the magnitude of upside in the quarter, the best growth profile we've seen in years. How much of this is all commercial or and a continuation of enterprise? And really just try to drill down into what drove the magnitude of upside in commercial where there's a new partners there? Any more color there would be helpful?
Rowan Trollope: Yes, so Brent really just to amplify, let there be no ambiguity around the fact that this business and the quarter in particular, which is typically one of the weaker quarters by the way is joined by the enterprise. So, we had this really continuing good business there illustrated by the LTM subscription growth rate of 37%. The cherry on the top was the commercial business as a result of the focus that came there and improved execution. We don't know at this stage whether it’s going to continue. We obviously continue to focus on it. The economy certainly was a tailwind in the second quarter, but we can't make any guarantees at this stage that it is saving around 10%.
Brent Bracelin: Was there a new software, kind of release in the quarter; was there a change in win rates or a competitor that really dropped off, any other health sector intelligence that you guys can factor the uptick and commercial at this point?
Rowan Trollope: No, I wouldn't try to put on any one thing. I think, if you look across the board, I mean remember we had some low growth rates, lower growth rate I should say in the commercial business last year. So part of it is an easier compare, which caused it go up, but yes, we did have new releases. We continue to increase reliability. We continue to increase the efficiency with which we implement our customers, and we always have a high touch, not only implementation process, but ongoing support and so I think a part of it is the fact that you know when you take care of your customers, and you build your NPS scores up to all-time highs, and you keep your satisfaction, your customers where it needs to be. It continues to show in the loyalty numbers and the low churn numbers. And so, part of that is just making sure the customers feel very comfortable and continuing on with Five9 and I think you see that in the improved dollar base retention numbers.
Barry Zwarenstein: And combined all of that was an extremely reliable platform.
Operator: At this time, I would like to hand back to management for any additional or closing comments.
Rowan Trollope: Okay, well I’d like to thank you all for joining us today, and I look forward to seeing many of you at upcoming conferences during the quarter. Thank you.
Operator: That does conclude today’s conference. We thank you for your participation